Mario Sampaio: Good afternoon everyone and welcome to the SABESP Video Conference to discuss the Results for First Quarter of 2021. My name is Mario Sampaio. I am the Head of Capital Markets and Investor Relations for SABESP. Let me start by informing all participants that this video conference is being recorded. Presentation followed by the slides are being transmitted over the Internet through the website, SABESP website and through the MZiQ platform. The presentation will be available for download on the same portal as well as the results for the release. We remind you that the questions will be accepted to the speakers only through the video cast platform. And before proceeding we would like to clarify that any statements that may be made during this conference, relating to the Company's business prospects, projections and operational and financial goals constitute the beliefs and assumptions of SABESP's management as well as information currently available for the Company. Future considerations are not guarantees of performance. They involve risks, uncertainties and assumptions as they refer to future events and therefore depend on circumstances that may or may not occur. That is investors should understand that general economic conditions, industry conditions and other operating factors may affect the future results of the Company and may lead to results that differ materially from those expressed in such forward-looking statements.
Mario Sampaio: Okay. Seems no questions so far. Checking. Any questions? Okay. Still nothing. Let's give everybody a little bit more time. Rui, I think your microphone is off. Should we wait a little bit more Rui or would you already take over for it? Rui never takes the opportunity. I think Mr. Affonso has freezed. Let me see. Yes, he disconnected. I think he hit the wrong button guys must be showing up. In the meantime, we wait to see if anybody wants some – make some questions. Okay, I think we have one question. Let me check why Mr. Affonso has not rejoined us. I asked my colleagues, maybe call them see if there's anything happening.
Unidentified Company Representative: I can call him.
Mario Sampaio: Okay, great. Okay, I see there are question. Let me, there's a one question, but Rui you're back?
Rui de Affonso: I'm back. I'm back.
Mario Sampaio: Okay. In the meantime, we have a question. Okay.
Rui de Affonso: Right.
Mario Sampaio: Okay. Let me go to the question. Essentially, it's Emmanuel Griffin from Griffin Music – Manny Griffin Music . The question is what's the most recent growth opportunity that you find most valuable in the coming months?
Rui de Affonso: Good question. In the coming month – a month is a very short time for businesses like water and sanitation. For us short-term is sensing up to one, two years, three years it's not a really fantastic opportunity in one month's time period. In the next few years we divide that so many big opportunities are ahead of us especially in increasing our productivity related to water losses reduction, automatisation of our plants, automatisation and integrate into cell phones, using WhatsApp and other web devices to pay, to receive to, to make our connection of our bills and things like that basically automatisation are huge opportunities for us to grow and are always we are looking and take a good valuation on the new concessions opportunities. But this take time, as I said in water and sanitation is nothing to be a huge growth opportunity in just one or two months.
Mario Sampaio: Okay, let me see. If we have another question, guys check. If we go for yes or no, when we see if there's enough a new question, quick question.
Rui de Affonso: Two question, I cannot see the…
Mario Sampaio: Okay. Look, there's a question here, seems a simple question. Let's see if we can address it maybe it is, the question comes from  Jennings from Robinhood. The question is the water also been filtered and cleaned through the water lines you're using? How can we answer that?
Rui de Affonso: Water is it's clean in our water treatment plants, not in our distribution systems. So we clean our wholesale water in our water treatment plants. With cleaning material, chemicals, and we distribute it – clean it. So you can drink portable water from direct through our taps here in Sao Paulo, that's to be very straight to the point answer to your question.
Mario Sampaio: Okay. Good. For example, like right now. Okay. Seems no more question, Mr. Affonso. The word is on you.
Rui de Affonso: All right. If there is no more questions, I believe that the IR team has been doing very good job in order to clarify on time all the questions you had in the past or you may have right now. So we are ready to help you and to discuss with you all the questions you have with Mario, Angela, Juliana, you have our team of IR here in SABESP. Thank you very much to join us in this first quarter conference call results. And hope to see you all soon, hopefully in person after this pandemic crisis. Thank you very much.